Brian Degnan: Welcome to Ardmore Shipping Corporation's 2025 Investor Day, during which we will also be covering the company's results for the fourth quarter full year 2024. I'm Brian Degnan with IGB Group. Just a few administrative points before we get underway. This event is being recorded and broadly distributed via live webcast, which along with today's slides is accessible at www.ArdmoreShipping.com. An audio replay of the event will be available on the website from later today. The standard earnings press release was issued premarket this morning and is also available on the website. From slide two, later in the event, following the prepared remarks, there will be a Q&A session, at which point we will take questions from people with us in the room today. For those joining remotely, please feel on behalf of the Ardmore board and senior management team, let me welcome you all to our annual Investor Day luncheon.
Curtis: Last year in my opening remarks, some of you may remember them, hopefully, you do not. I noted that we lived in interesting times. And in many ways, we still live in interesting times. But there's also been a great number of changes since our last meeting. We're hopefully seeing maybe a more settled situation in the Middle East, and possibly as of this morning. And must keep our aim constantly focused on the future. As you'll hear this afternoon, Ardmore Shipping Corporation is focused squarely on the future. We remain committed to performance and progress, to innovation, to our well-articulated capital allocation policy, and to thoughtful and transparent governance. With that being said, you'll hear a lot about all those topics this afternoon, and I want to thank you again for your continued interest in and your support of Ardmore Shipping Corporation. We remain solidly committed to being good stewards of your investment. And with that, I'll ask Gernot Ruppelt and Bart Kelleher to come up and join me as they begin their remarks.
Brian Degnan: Thank you, Curtis, and welcome everyone. We're delighted you could join us today as we are pleased to update you on another great year for Ardmore Shipping Corporation.
Gernot Ruppelt: For those of you who are new in the audience, slide five gives you a snapshot of our company today. Ardmore Shipping Corporation is listed on the New York Stock Exchange in our first-rate governance is a cornerstone of who we are. It guides all values, our business principles, and how we make decisions. Our core focus is on product and chemical tankers, which we operate through our globally integrated platform. And our performance-based culture and emphasis on innovation is what consistently drives us to deliver outstanding results. Moving to slide six. Here's the outline of today's presentation. Bart and I will first guide you through our earnings highlights. We will then pivot to the Investor Day segment of the presentation. Here, we will focus on external market fundamentals before we give you a business update. And a look under the hood. And finally, I'll offer some closing thoughts before opening up the meeting for questions. Turning first to slide seven for highlights. We are pleased to report another successful year for Ardmore Shipping Corporation. Adjusted earnings were $120 million or $2.84 per share for the full year. And $10.3 million, $0.25 per share for the fourth quarter. All markets are experiencing continued strength as a result of tight supply and demand fundamentals, bolstered by ongoing geopolitical disruption. Meanwhile, Ardmore Shipping Corporation continues to execute on its long-standing capital allocation policy. We repurchased 4% of our shares during the fourth quarter at an average price of $11.49. And today, we declared another quarterly cash dividend of $0.08 per share consistent with our policy being hard one-third of adjusted earnings. We also remain committed to tight cost management and have achieved low cash breakeven levels of $11,500 per day. This positions us to benefit strongly from a wide range of market scenarios and across cycles. Moving to slide eight. Our TCE performance reflects continued strength and rates remain significantly above our cash breakeven level. MRs earned $22,700 per day for the fourth quarter, $23,400 per day so far in the first quarter, 55% booked. Our six chemical tankers earned $21,400 per day for the fourth quarter, and $14,000 per day for the first quarter with 40% booked so far.
Brian Degnan: And with this,
Gernot Ruppelt: I'll hand it over to Bart.
Bart Kelleher: Thanks, Gernot. Moving to slide nine. Here, we detail our continued focus on financial strength. Once again, the chart on the bottom left highlights a significant reduction in our cash breakeven levels. Now standing at a low $11,500 per day. We've accomplished this through our effective cost control, lower debt levels, and access to revolving credit facilities. As we will emphasize today, Ardmore Shipping Corporation remains focused on optimizing performance, closely managing cost, and preserving a strong balance sheet. Turning to slide ten, for financial highlights. Echoing Gernot Ruppelt, we are pleased to report our continued strong performance with the adjusted earnings of $2.84 per share for the full year and $0.25 per share for the fourth quarter. We're correspondingly reporting strong EBITDA and continue to frame this as an important comparable valuation metric against our IFRS reporting peers. Full reconciliation of this is presented in the appendix. Also, please refer to our first quarter guidance numbers in the appendix on slide forty-five.
Gernot Ruppelt: Thanks, Bart. This concludes the earnings portion of the presentation, and we will now move on to the Investor Day section. And begin with an outlook on the market. Key points? Strong long-term fundamentals in products and chemicals, and on top of that, geopolitical disruption, sanctions, and regulatory shifts. Starting with slide twelve, the demand picture. Global oil demand accelerated in the fourth quarter and further robust growth is projected in 2025. The US economy is proving resilient with solid GDP and jobs growth. Meanwhile, the IEA is projecting all supply growth of 1.1 million barrels per day in 2025 even in the absence of OPEC unwinding its voluntary cuts. In the fourth quarter, we saw traders taking a step back. Lower refining margins and uncertainty in broader global markets resulted in a general risk-off approach. There were fewer long-haul cargos particularly on east to west runs and overall activity was somewhat muted. But things have started to pick up. In contrast to the uncertainty of the fourth quarter, and a general wait-and-see attitude, market players are beginning to take positions. Trading firms are arbitraging, shifting cargo flows, time charter activity is on the rise. And very notably, refining margins have jumped and all this should result in a fresh boost to ton mile demand. Moving to slide thirteen, where we provide an example of how tariffs create market inefficiencies adding to overall ton mile demand. As shown on the chart, on the lower right, Canada currently accounts for 40% of gasoline deliveries to the US East Coast. If tariffs are introduced on Canadian refined product imports, we would expect to see a significant portion of these volumes replaced from elsewhere. Most likely Europe, and West Africa. Already now, we have witnessed cargo activity in the Atlantic basin as a direct result. We can see from the chart on the upper right that voyage distances are six times greater for imports from Europe compared to Canada. Even longer from West Africa. This is expected to happen in both directions, whereby Canadian barrels would find new export markets that by definition are substantially further away. So both imports and exports traveling longer distances. It is impossible to overlook the strong parallels to the EU refined product embargo Russian exports. And as we enter an era where we may see additional action taken on trades across numerous cargo routes, it is important to remember this typically means more trading opportunities, longer waiting times, greater volumes of product on the water. All this fundamentally supports ton more demand and thereby freight rates. On slide fourteen, we take a step back and review longer-term demand drivers. Dislocation of dislocation of all refineries remains an enduring trend. Refining and petrochemical production has been shifting east. Which combined with refinery closures in the west continues to drive incremental ton miles. Market projections reflect the sustained and increasing demand for refined oil products, order to meet global fleet and its replacement needs with the current order book chart on the left provides an important visual the changes in the MR fleet over time. Highlighted in the green quadrant, currently, there is an exceptionally old fleet. In fact, it's the oldest fleet in recent history. With an average age of fourteen years. Now moving to the chart on the right, more than half of the global MR fleet will So as the Aframax fleet shrinks, and creates a shortfall, A portion of these LR twos will naturally operate in the crude trades. Turning to slide sixteen. The pie charts on the left further highlight the rapidly aging MR fleet. And as mentioned, more than fifty percent of the fleet will be over twenty years old within the five years. This aging fleet Sure. Month. An additional hundred and fifty-five tankers were sanctioned by OFAC. Bringing the total sanctioned tanker fleet to over five hundred vessels. And effectively halting further utilization of these ships. Specifically on the product tanker side, approximately a quarter of the total fleet has been sanctioned and or has participated in Russia trade. Notably, the Aframax segment has been most impacted with twenty percent of the fleet now under sanctions, and as you can see in the chart on the right, the LR2s are increasingly shifting into dirty traits. Widening the supply-demand gap in the clean market. And please keep in mind, shifting from clean to dirty can be done on an ad hoc basis. But on the other hand, bringing ships back from dirty into refined product trades is costly, and requires extensive tank cleaning, and intermediate cargos. Overall, as the impact of sanctions continues to reverberate through markets, effective supply is reduced significantly. And this benefits top-tier tanker operators such as Ardmore Shipping Corporation. Moving to slide eighteen. Here, we highlight the growing complexity of the regulatory landscape. This is actually impacting supply and playing to Ardmore Shipping Corporation's strengths. The company was very well prepared for the recent fuel regulations in Europe. And even though the costs are treated as pass-through voyage expenses, it's required significant planning by our team. This regulatory environment also enhances the returns on the energy efficiency investments that we have successfully completed over the past few years. We'll take a look at some concrete examples in the next section. Overall, while regulations can be a burden for some, they benefit companies such as Ardmore Shipping Corporation. Since we are positioned to manage them effectively and capture incremental earnings.
Bart Kelleher: Now moving to slide nineteen. What does all this mean for us? In these volatile markets, we can experience significant jumps in charter rates and earnings. And for example, a $10,000 a day increase in rates is equivalent to an annual increase of about $2.30 in earnings per share and a boost of nearly $100 million in free cash flow generation. Ardmore Shipping Corporation is very well positioned to harness this market volatility and translate it into earnings upside.
Gernot Ruppelt: Turning now to the business update. Starting with an overview of our strategy, on slide twenty-one. Optimal strategy, is clear and well defined. We are a global owner and operator of product and chemical tankers with a particular focus on leveraging opportunities Products and chemicals overlap. This is an important part of Ardmore Shipping Corporation's competitive advantage. Is one thing to simply buy tankers with chemical capabilities, Owning steel is easy. But managing and trading these vessels in a safe and efficient way is more complex. Requires unique organizational capabilities, that need to be built and developed over time. These more complex markets are harder to penetrate, And for us, is one of the ways we differentiate ourselves as a business. Ardmore Shipping Corporation features a fully integrated trading platform. Our talented Shoresight team strategically covers all our markets twenty-four seven, out of three key locations, They work closely with our dedicated seafaring colleagues on board our modern fuel-efficient fleet. Thereby, we can transact close to our customers and execute voyages in close partnership with our vessels. All of this, of course, to maximize TCE. Inherent within our performance focus is a constant restlessness to innovate approve. This permeates the entire organization. This reflected in how we upgrade our vessels physically reduce fuel cost. It is how it is about how we integrate artificial intelligence to enhance decision making. How we develop new traits, optimize voyage execution, An experiment with new ideas. From large CapEx projects to everyday business processes. We will show you a few examples shortly But other than our core values, at Ardmore Shipping Corporation. Everything is always in motion. As we are always looking for ways to develop further. Why? Because we believe this is how we can best position Ardmore Shipping Corporation for the future. How we remain how we remain competitive regardless of market cycles While we continue building a great company, And to that, ultimately, of course, how we create long-term shareholder value. Slide twenty-two. Reintroduces a concept which is core to our belief. Performance and progress. Success of this philosophy is reflected in the key metrics highlighted on this slide. Both absolute and relative performance are crucial to us. Shown here, a key metric is our full-year TCE $30,300 per day. We place significant emphasis on hard performance measures And this is how our team members are collectively measured and incentivized company-wide. Cost discipline throughout the cycle and low debt have enabled us to achieve a historically low cash breakeven $11,500 per day as mentioned before. Strong earnings, and low cost Combined, this allows us to return a significant level of capital to our shareholders equivalent to 23% all market caps since the end of 2022. Under the progress banner, innovation mindset is at the center of what we do. Where every voyage, every decision, and every process of opportunities to do things better. Our seafarers and shore staff work seamlessly together as One team. All that tied together by industry-leading governance. Importantly, for us at Ardmore Shipping Corporation, the concept of performance in progress has never been about trade-offs. Where either performance would come at the cost of progress or progress would come at the cost of performance. On the contrary, we believe that one enhances the other. And we're happy to discuss this point further during Q&A. In essence, we believe that strong governance also enables strong business performance. Slide twenty-three, provides some more detail on that last point. Led by our experienced and extremely versatile board, we recognize that robust corporate governance is crucial to ensure long-term success. Honored to be recognized once again as the top-ranked tanker company on the Weber Governance Scorecard. And we are delighted that our principled approach continues to set the standard within the industry. And for anyone investing in Ardmore Shipping Corporation, we believe this is equally meaningful. Slide twenty-four. It can't be said often enough. A key part of that governance is our long-standing capital allocation policy. We are committed to utilizing our robust financial position to actively deliver on all of our allocation priorities. The fourth quarter, repurchased shares and declared our ninth consecutive dividend. We are continuing to reinvest in our business in meaningful ways We continue to reduce debt, And building on our track record, of accretive growth we are developing and evaluating potential transactions a measured and disciplined way. This policy reflects a sensible, cyclical approach to creating long-term shareholder value. Okay. Let's pivot a little bit We promised you look under the hood, and, of course, on a day like today, I have to show you some maps. So moving on to slide twenty-five. We want to show you three real-life examples of how we trade our ships. In this first example, we are looking at a vessel that had to be repositioned from northern Europe all the way to China for a scheduled dry dock. Through a deliberate repositioning plan that played out over five months our team leveraged a number of creative VOID combinations Those market access advanced planning, and tight execution enabled us to deliver the ship Literally, at the doorstep of the intended dry dock with minimal ballast. Going back to the point that we just made about the strong alignment of our team, we managed to achieve significant reduction in our dry docking cost at the same time, enabling strong on higher performance by collaborating across functional lines that would traditionally You divide it. Port will later cover our CapEx upgrades, But, of course, we need to remember that these intelligent repositioning strategies Amplify. Over a dry docking program. Turning to slide twenty-six.
Bart Kelleher: Here? You see a year without ballast. The green lines on this map reflect the voyages carrying cargo The black lines show the ship was empty. And when empty, the ship is not earning any money. We are, of course, quite pleased to see how hard it is to find that black line here on this map. This vessel was laden for almost the entire fourteen months period, resulting in an average TCE of $35,000 per day well in excess of market earnings over that period. How can we achieve something like this? Well, a bit of luck. But more so, strong team expertise, and the right connections combined with utilizing our digital tools to enable fast And accurate commercial decision making. Joining to slide twenty-seven. Here we have a visual of how we are leveraging emerging cargo trades beyond oil products on one of our chemical tankers, The void combination you see here includes edible oils, used cooking oils for biofuel production. Among others. We discussed earlier our expertise in carrying non-petroleum based cargoes as a deliberate strategy. Through that, were able to achieve a TCE of over $35,000 per day over a five months period. This demonstrates the versatility of our chemical tankers which Bart will cover a bit later when he takes us through the further enhancements we're doing to our tank coatings during the upcoming Cycle. Slide twenty-eight. Do we achieve these results? Of provides a summary of what we just covered. But as a reminder, world-class fully integrated platform, high-performance culture, and a team that is constantly innovating To deliver premium earnings. Turning to slide twenty-nine. This is a snapshot of our global setup which we discussed before. Efficiently covering our key markets in the Americas, in Europe, in the Middle East, and Asia. Enables us to engage a broad and diverse range of high-quality customers. It's important to note that the vast majority of cargos transacted in the market every day are transported by these blue-chip oil companies major trading firms they have extremely stringent regulations terms of compliance and technical vetting. Ultimately, this is about having lots of trading options for Ardmore Shipping Corporation.
Gernot Ruppelt: And going strong today, The plan is a natural evolution of our strategy. Focused on continuing to create value in an ever-evolving market landscape while reducing emissions along the way. The energy transition will take time. And so this plan is firmly rooted in a commitment to achieve tangible results today that are highly accretive to our performance, Well, at the same time, strategically positioning Ardmore Shipping Corporation for the future. In the following slides, we'll highlight some powerful examples. Moving to slide thirty-one. We take our dry dockings to the next level. Of $25 million. Including an elective $14 million spent on scrubber installations, and other energy efficiency technologies. For 2025, we forecast CapEx of approximately $30 to $35 million And, again, a combination of routine dry dock maintenance, as well as additional high returning performance upgrades. Also noteworthy, we had very strong on hire availability for the quarter. At nearly 100%. As a result of the continued close coordination of our teams at sea and onshore.
Bart Kelleher: Turning to slide thirty-two. We've fully embraced innovation and cast a wide net evaluating and testing potential projects. In fact, we've reviewed over two hundred technologies successfully implementing twenty initiatives, while achieving very strong returns. Often in some cases in excess of 100%. So let's look at some specific examples. Turning now to slide thirty-three. We're upgrading our tank coatings on our chemical fleet. To increase cargo versatility and further expand revenue opportunities. The chart on the left illustrates the growing list of cargoes available to us. At the same time, reduce cleaning and turnaround time will increase our asset utilization by approximately 10%. This all aligns with Ardmore Shipping Corporation's trading strategy. To continue to move deeper into the premium end of the cargo slate. Boosting earnings accordingly. Moving to slide thirty-four. Strongly overlapping with our energy transition plan, we are leveraging a full and growing suite of AI and digitalization tools to enhance our commercial and operating performance. Let's take a further look on slide thirty-five. We were one of the first ship owners globally to deploy Starlink across our entire fleet. This system has been a game-changing connectivity tool. It has enabled our fleet and our shore staff to pilot and implement several new technologies, All driving fleet performance And well beyond the performance gains having Starlink on board has supported morale amongst our seafarers. It is so powerful how our crew members can connect with their families virtually. Every nice. And from the office, we now officially host True all hands meetings. With all of our vessels joining live, it just wasn't technically feasible in the past. We're just getting started realizing the benefits of this amazing connectivity. With that, I'm gonna hand it back over to Gernot Ruppelt. He's gonna discuss another exciting multiyear project that he actually drove with the team.
Gernot Ruppelt: Thank you, Bart. On to slide thirty-six. Here we discuss a high level one of the many ways maximize VoIP performance Our largest variable cost is fuel. Through extensive adoption of AI-assisted optimization tools, most prominently deep sea AI and Albus, we have substantially reduced this cost. By optimizing speed, health cleanings, weather routings, voyage execution, and much more. Every voyage contains multiple decision points. Having access to real-time data and then having the ability to execute on the spot ensures optimal performance. To provide a bit more context, Every time you decide on a voyage speed, You essentially do one of two things. Either you go faster and capture a stronger market. Or you go slower thereby save fuel. You make a microeconomic output decision at any point of the voyage. And only with the help of AI can you then ensure marginal revenue and marginal cost are perfectly balanced all times. Thereby profit is maximized. Results are speaking for themselves with annual savings one in excess of $5 million. And returns well north of 100%, all fully scalable for us. Now that we've finished looking under the hood, And before I open the floor to questions, Let us summarize key points. We continue to see strength in the market and track positive fundamentals. The world around us is changing. And in such a fast-changing environment, our strong financial position, as well as our nimble organizational mindset set us up for continued success. Finally, our commitment and focus continue to be our core governance principles order to build long-term shareholder value. Thank you for your attention. Are we hereby your questions.
Brian Degnan: Alright. So thanks everybody. We are gonna open up Q&A now. I appreciate those on the webcast who have sent in questions. Please continue to do so. I'll be your sort of avatar in the room here. So let's go ahead and open up So we start with Omar here? Please.
Omar Nokta: Thank you. Alright. Thanks, Gernot Ruppelt and Bart Kelleher, for the presentation. You guys have obviously stepped into senior roles here just as a world began to shift quite quite differently. So a lot a lot of things you guys I'm sure, are discussing and thinking about. Just You know, Thinking about the the I wanna think first thing you mentioned, Gernot Ruppelt, and just sort of the the way this market has evolved. You mentioned that it kind of you know, we've seen it. The rates kinda shifted downwards the fourth quarter. Still a very strong result, right, in the twenties. But just in general, you you mentioned that things have picked up and there's been a lot more trading activity. There's volume. And and and just well, is there a trigger that has caused that? Or is this more a return to normal and it was really the fourth quarter that was quiet? Any any sense you can give us in terms of, like, a trigger that caused things to Improve. Yeah. I think the point we were trying to
Gernot Ruppelt: Can you hear me? Okay. Yeah. I think the point we were trying to to make was that a way, we do went beyond tanker freight and even beyond oil products and and the commodities that we carry, where certainly the fourth quarter there was this overarching theme of what does this all mean? I mean, the world was changing. In a way, it's always changing, but I think there were just a lot of open-ended questions around what does this mean? And and I think it was hard for market participants that drive demand to really lean in and take positions. And that has shifted. As I said, you know, people are willing to commit to time charters. We see now that we're shifting from this uncertainty to, okay, here's what some of these sanctions could mean to cargo flows. Here's what tariffs could mean to cargo flows, and and and traders all traders who of course drive an important portion of demand are really arbitraging those trade flows. So in a way, I would look at it indeed as a as a normalization. Where, you know, taking a step back, we have strong auto demand growth forecast. We have this interesting emerging new pattern of cargoes that are coming into the mix that we can arbitrage and you know, some some seasonal factors that that are falling away. We have seen upward volatility already in the quarter, and that's at a time when US Gulf refiners right now are running at a very low level. We had the cold snap in Houston, and, of course, just seasonal maintenance where refineries are at the moment running at eighty percent where normally they'd be running at, you know, ninety-four, ninety-five percent So a lot of those factors should be normalizing and and you can't overlook those, you know, key long-term demand drivers before you can get to the to the fact that the three d is just so exceptionally old. So the industry.
Brian Degnan: I think you've Yep. Got one here.
Omar Nokta: Are there any specific effects from specific tariffs, whether it is a product or a
Gernot Ruppelt: country, how how do you see that shaping up? Yeah. Great question. And it's almost that as as long as things are shifting, Our vessels are, of course, floating, so they can break quickly just to those arbitrage flows. So if you were to see know, product imports from, let's say, China, to diminish very quickly. You see other refiners in the area, Middle East, Korean refiners stepping in. And whenever you see a shift in trade patterns, that creates this upward volatility in rates, in particular asset classes, provide that optionality course, in the time of uncertainty or volatility, your value of option of having an option goes up. Any way by taking a product tanker, you have that you you have that option value.
Brian Degnan: Alright. For those on the on the webcast, just just a reminder, Ardmore at IGB IR. Com. We've got another couple in the room, and then I'm gonna speak for the webcast folks.
Omar Nokta: No. No. If you could, for the benefit of the people on the webcast. Tanker side. You have any views as to how that's playing out.
Gernot Ruppelt: We talk about the Red Sea, for us, the utmost priority will always be the safety of our seafarers. So that being the overarching objective, we are in contact with security advisers with multiple industry associations and directly with other industry peers. And look, not to try and unpack the situation in the Middle East, We believe that it's still infinitely complex and as I think we can already see, these things don't tend to always move in a straight line. So for us to consider resuming transit, which we're not, we would really have to look at a sustained and and and visible and credible normalization of trade flows and you know, again, looking at at other owners, very much taking a similar stance.
Speaker 7: You mentioned volatility. There's a lot of volatility regarding tariffs. The products that you're carrying as well, And I'm just thinking that The end game for the tariffs is to come up with a solution and renegotiation. And it seems like Trump is not that keen on having that many sanctions with certain countries. So I'm wondering if supply comes on when these sanctions start coming off. Know, maybe a year or two down the road, Because volatility is beneficial to you And once that supply starts coming in, and things normalizing our operating environment normalizing, do you have plans for that projections for overcapacity or supply and redirection
Gernot Ruppelt: Yeah. Great point. For us, we believe the the the shift tonnage into gray fleets, shadow fleets, sanctioned trades is very much a one ticket no matter what happens with regard to sanctions. You know, very very often these ships are maintained to a very poor standard. Very often, they're owned by entities that are very much in fringes of what what any of our customers would find acceptable, and they're very old. So you could argue maybe the economics of being in these sanctions, conflicted trades are actually what keeping those ships quote unquote alive. You take that away, they they don't really have that much to stand on anymore and, you know, we've had recent examples of how some of those shadow fleet tonnage can really create a real peril to, you know, human and environmental disaster and for these ships to just swing back into into into complicit mainstream trades we believe, is is an illusion.
Brian Degnan: Send over there, and then I'll
Ben Nolan: Thanks. Ben Nolan from Stifel. I wanted to maybe put two sort of strategic questions together.
Speaker 8: If I could. The the first is you talked about putting marine land marine line on the six chemical tankers. Or or how do you envision the company developing over time? What what is the identity? And then and then maybe along those lines, I mean, as Omar Nokta mentioned, you guys have been in the seat for Nine months or so, I think, something like that. Looking back, is there anything that you would have done differently Are there opportunities to buy or sell things that you you didn't and now you kinda wish you did or charter or or or what's it what's the learning process been, I suppose, thus far?
Gernot Ruppelt: Maybe, I'll I'll I'll hand it over to Bart Kelleher in a second to to explain sort of the broader scope around the capital allocation decisions we're making here. But I think strategically, very important for us, we almost look at those trade
Bart Kelleher: saw the, you know, value in the share We actually leaned in and and we We walk Through challenging conditions. But when it is when there's complexities and there's challenges, that's when you can actually have the incremental earnings and and and produce strong results. And so I think we've been excited about that. They energize us. And and I think you know, more exciting times for us to come.
Brian Degnan: And to answer your question or maybe a review of the of the
Gernot Ruppelt: of the year that's behind us, we were active, of course, on on on the full front of of capital allocation options where did an interesting swap deal on the ship. Sold our oldest that was approaching for a third special survey, that fifteen year old Mark, bought a very new ship at a really strong relative price spread, you know, a ship that's also more fuel efficient, higher performing, more versatile, And then at the same time, we found a number of these incredible upgrade opportunities that give you a guaranteed return no matter what happens in the market. And that's not to say that proof forever stay absent. From S and P markets, but, you know, again, comparing where we see most value for the capital that we deploy decision has been fairly straightforward, and continue to a very dynamic, flexible way and engaging with our board continue to evaluate all options of capital allocation in the future.
Speaker 9: You know, I I think it was really notable and encouraging that you bought back stock in the in the fourth quarter. It's something that's been missing in the Ardmore Shipping Corporation story for ever, I think. But are you willing to it's it's very accretive when you trade below book value, below most estimates of net asset value when you buy back stock. Are are you and your leverage is quite low. Are you willing to lean into it to the extent that you might bite back in a in a period if the shares are attractive more than your earnings and and let the leverage ratio increase a bit just because it is such a you know, powerful way to create shareholder value.
Gernot Ruppelt: It's a great question. And and I think it comes back to this, you know, very dynamic way to look at all those angles because everything is constantly in motion. Mean, when you look at those four big dimensions of capital allocation, there's lots of subsets to them as well. When you look at reinvesting in the business, you look at, you know, what types of debt also when you look at returning shareholder value, And, of course, markets move Investment opportunities move. Technology moves, and, you know, our share price moves as well. So as that plays out, it's very much a live discussion rather than kind of, like, Let's make a big statement today. You know, we're committed to the policy philosophically and fundamentally the components, of course, are quite variable and we continue to engage with the board on what what is the best way forward here.
Brian Degnan: Take a couple from the webcast here. Okay. You talk a bit about challenges of cannibalization from crude tankers in the product space perhaps potential swing tonnage opportunities in the chemical space.
Gernot Ruppelt: Great question. I mean, I think they just to highlight a slide we showed earlier, it's really moving the other way right now where, you know, the the most prominent and most immediate way to swing between clean and crude trades are LR twos. You know, the the order book is pretty much all LR twos, no Aframaxes. And you can see that these swing ships that are actively moving it between markets are actually going in the other direction, are going dirty. As far as Some of those cannibalization trades as as as it was referred to are concerned. You know, we see the occasional clean cargo getting lifted on a on a new building, but we haven't seen since since the last fall and summer, you know, ships deliberately cleaning up from a dirty history as in crew tankers cleaning up from a dirty history towards clean. The shift is is is going the other way right now. And, of course, that creates that doesn't create it amplifies tightness in the product space where, you know, you have already a supply and demand gap and all the points that Bart Kelleher made a more sanctions and and just the the aging of the fleet, there's a lot of short-term amplification of that of that broader supply tightening.
Brian Degnan: Right. AI is a big buzzword. What does that actually do in shipping?
Gernot Ruppelt: Well, look. Yeah. Maybe it is a buzzword to some but for us it's a way to to improve performance. There is myriads of ways that you can apply it and and drive real hard financial results. And we've given you a look under the hood how we can do that today. And the space is evolving quickly and as an organization we're excited by it because it means we can find very, very sensible and easy ways to continue building on that performance. And, you know, that's, you know, when we talk about lowering your fuel cost, tracking cargo flows, supporting navigation, this should all be baseline type of stuff. Every company should be doing that today. There's a lot more beyond that that we're exploring in in a very kind of interesting way throughout the organization to make sure we we continue to inject those opportunities as we look forward to to driving performance. So if if you wanna call it a buzzword, that's fine. We we for us, it's it's it's real dollars in our pocket.
Bart Kelleher: And maybe I I'll just add. I mean, it wasn't all that long ago that really the vessels out at sea know, we're more islands of of data and information and you'd get a a daily update in terms of fuel and conditions on board. And and so to have that connectivity in in that larger dataset, bringing it shore side, analyzing it, running it through your systems, and and it really is about the team and the technology and finding that right fit together. And then being able to communicate back to the vessel, you know, I mean, it's just much greater precision. You're building a culture at sea and at shore that really is focused on efficiency. And, you know, every ton of fuel saved drops directly to the bottom line.
Omar Nokta: A couple over here. Yeah. Go, Omar Nokta.
Omar Nokta: Thanks. Just a follow-up and more market related again. Just on the sanctions, I think, Bart Kelleher, you had talked about the in January, the the hundred and fifty The tankers that were sanctioned. Just from your perspective, what what inning are we in in terms of the impact of that having on the market?
Bart Kelleher: Yeah. Good. I mean, it I guess, it depends because we kinda think this is probably a trend that know, likely, potentially continues to expand. But there's the that absolute impact when you have sanctions where you really taken out of the market much more so than when, you know, Dark Fleet, Gray Fleet, and you're still operating your economically incentivized to to trade outside of the the main global trades, It feels relatively early. I mean, when you when you have this step up, takes a a couple of months, I would say, for voyages to get fixed. And and to see how different trading patterns may emerge. And then also what is you know, the mindset then of those isolated vessels and in terms of scrap value today versus really high OPEX and really high CAPEX to keep them in operation. And now all of a sudden, choked off from That That you know, other alternative trade So yeah, I'd I'd I'd say probably early innings, but we're watching closely.
Omar Nokta: And then just on that, I mean, I guess it's because we haven't seen a rate spike right, to to to give people conviction that you know, the sanctions are are gonna bite, but not to put words in your mouth, but just simply looking at the numbers in the I think in your slides, the sheer percentages of vessels that have now effectively removed from you know, active trading or at least in the compliant fleet. Is that more significant than the impact of Red Sea rerouting or impact of Russia, Ukraine trade dynamics shifting you know, vessel patterns or the Panama Canal when that was closed for a period. Isn't this substantially more significant than anything we've seen? The past three years?
Bart Kelleher: I mean, all a lot of you know, dynamic marketplace activity going on. I'm I'm just filing because you're you're seated with Holly, our head of global chartering. So you guys do have discussion over lunch, but but I I think that you know, for us, it comes back to you have all these different shocks that come into the marketplace having the team trading globally, staying nimble, and and you know, trying to actually take advantage of that at the margin, It's you know, that's the $11,500 a day breakeven. A real range of potential earnings, you know, levels that we can capture with that low breakeven. Like, they're not And to your point, looking back at past examples when
Gernot Ruppelt: sanctions have been implemented, of course, there's always a a market today but it takes some time for that to really reverberate as as as voyages are completed and find themselves just back again in the market with know, twenty percent of supply removed, that is quite impactful. And and so, yeah, I believe there is a there is a lot of it's it's a real wild card, but in a positive sense.
Omar Nokta: Thank you.
Speaker 7: Thank you. Yeah. You you just brushed on the AIs. Story, and, I mean, that's what people are looking at for the future is how to make yourself more productive by leveraging technology. How's how big is your technology team? And do you plan to invest in that? Now that you're working with Starlink, it does seem that the company has a treasure trove of information. Are you considering monetizing some your information, your data into a not into an AI product for know, another vertical, and I'm just thinking out loud here. Great questions. And I think that
Gernot Ruppelt: kinda leads you back to some very fundamental questions you have to ask yourself as a company strategically and and and at the board level around what is your AI strategy? Do you want to be a developer? Of AI solutions? Do you wanna be an investor in AI solutions? Or do you wanna be really good at adopting whatever is the latest development on their forefront And we made a choice for us that it's the former. That's the first two options don't necessarily conform with our, you know, core strategy or our strength. But I I could I could probably talk about this for an hour because I'm quite passionate about the topic because it has become so real, where whereby even processes that have always been part of what we do and how we do things. Fifteen years ago, we were some of the first to roll out onboard telemetry on our ships. To collect all this data. How do our ships behave in different sea states, different currents, different RPMs, you know, depending on how much you drive with your engine. So we actually have the benefit of sitting on on a on a vast field of data where a lot of other companies are just beginning that journey now. I would argue we're probably fifteen years ahead of that. And and anybody who know understands AI knows how important actually the data aspect is collecting that data to begin with. But now we're using new tools to actually help us process this data on real-time basis so we can make faster, better, more accurate decisions with that data. And, you know, happy to talk about this offline, but it applies to so many parts of the business. Organizationally, we have a real commitment to that where we actually have a small but very impactful innovation team. Two people, one person coming from a technical background, actually a seafaring background. The other person coming from a a data background having worked for one of the blue-chip technology firms. And and between those, there's a lot of strength, but you cannot put this into a department You cannot put innovation into a corner in a company. You have to bring this right into the center every level. You need to have people think about what am I doing today? Could I do this better better? And if something stands in my way, we not leverage some of those new technologies to overcome this? Make it make it personal, make it fun, and and be very open to to experimentation. I think that's how you bring
Speaker 9: opposed to a few years ago, there was
Speaker 8: eOne marine and really more structural big shifts. Like, what what kind of fuel is my engine going to use? Is that is that indicative of sort of where you you're at at the moment? We're we're not really thinking as much about we're gonna be using methanol or
Bart Kelleher: that you can put on board your existing fleet you're building that knowledge base for when the right time comes, what does that vessel of the future like? And you have this institutional knowledge that's that's much greater.
Speaker 8: And then
Gernot Ruppelt: and can I just add to this? I mean, this is where it really comes back to performance and progress. Where they need to enable each other and and, you know, no no initiative towards a future fuel can exist in isolation. It needs to tie right back to performance. And in terms of the discovery process where we talk to all sorts of new technologies and track different different prices and caloric values for different fuel types. That's all on the way. We want to be very much patched into what's going on. Of course, when it comes to deploying capital, this has to be, you know, done with with with with with the rigor and the discipline, we would look at buying a new ship or doing anything else. Is there is the truly accretive to performance, and and what are the what are the risk factors here? And I think that's ultimately where we see with the upgrades that we've done. No brainer, guaranteed returns, and and we walked in that direction.
Speaker 8: And then lastly for me. So given all of the unknowns, unknowable, really, things that are in the market, Do you have a view or any conviction around asset prices? Do you feel like you know, that that there's substantial risk or opportunity at current levels.
Gernot Ruppelt: Probably always both, a risk and opportunity. Probably they somehow belong together as well. We do see definitely some movement in in SMB markets, there are some some a lot of things actually that emerge around resales, around options that are that are looking, to be converted. And and we're engaging with all sources of deal flow to make sure that like on technology, know exactly what's out there, how it's priced, and what angles we can take, and then we run it through a process. Is this worth this worth it? Is it worth it today? I wonder what circumstances. So I think compared to maybe last year in the summer, they definitely seem to be a lot more movement, and, of course, it is a fragmented market. Where, you know, there's a lot of different participants with different views on on near-term needs and motivations. And we are standing by to to explore those.
Brian Degnan: I get one from the webcast, then we'll continue just after. I'm gonna try to summarize this. So you've put money into into the existing fleet improvements, into the technologies you talked about, AI. How much more of that is there to do And why isn't it a given? Why isn't everybody doing it if it's so great?
Gernot Ruppelt: I mean, the latter point of your question, I can't really speak to that. How how other companies conduct their business? For us, that frontier is constantly moving because the technology is not standing still. As long as the technology develops, whether it's on AI or onboard technology, there's always gonna be opportunity for us to develop and we have an organization that always wants to shift that boundary backwards. So unless anybody believes that technologically, we have now, as as as as as humankind, eclipsed. And this is how far we've come. I think there's gonna be infinite opportunities for us to continue optimizing and developing performance gains.
Bart Kelleher: Yeah. And I think just think about it. A ship is really a floating city has every system that a city would have and and then it's in motion on the ocean point a to b. And so much has been done in other industries where we're just chipping away at that. In the shipping industry. So very long runway. Thank you. I have a two-parter. So the first, I was wondering what is the TC spread between your worst performing ship in your fleet and your best performing ship? And the second question is, what kind of considerations go into decision to add a ship to the fleet? Like, how do you think about the economies of scale of the business as well as the marginal contribution or constraints that you have in adding a ship?
Gernot Ruppelt: Great question. I mean, the spread between sort of best and best performing ships, of course, you know, that moves. They're sort of you can normalize that for just general characteristics of the ships, but, you know, over the course of a of a quarter or a year, of course, it depends on timing positions and and various other things. It could be very close. It could be several thousand dollars a day. We feel like we've built a really good company. We have a really good performance record, and we've demonstrated that time and time again. We feel like we're delivering that performance given the current scale we have today. And and we're very you know, proud of that. Would we like to use that great platform, the great you know, the great performance track record, and multiply that over wider asset base in theory, of course. And then comes right back to, you know, timing and and and conditions and what vessels we'll be looking at. And the thresholds, of course, are always you know, we want to continue to use our capital in smart ways, that they are truly accretive, but also we have built a really strong high-quality fleet and, you know, not every ship is the same and it needs to bet our high technical and operational standards and ideally make us more versatile than less versatile.
Brian Degnan: Thank you.
Brian Degnan: Okay. Last call in the room.
Omar Nokta: Alright. I think we are
Brian Degnan: we're done for the day. Thanks everybody for joining us. We're gonna be around for a bit longer here. If anybody has questions, As mentioned at the top, there are others from the Ardmore Shipping Corporation team the crowd amongst you. Feel free to pester them. That's why they're here for for your benefit. So yeah, thanks. Very much. Thank you, Brian, and thank you once again, everybody.